Sami Taipalus: Good afternoon, everyone, and welcome to the Sampo Group First Half 2021 Conference Call. My name is Sami Taipalus, and I’m Head of Investor Relations at Sampo Group. I’m joined on the call today by Group CEO and President, Torbjörn Magnusson; Group CFO, Knut Arne Alsaker; Chief of Strategy, Ricard Wennerklint; CEO of If, Morten Thorsrud; and CEO of Hastings Toby van der Meer. The call will feature a short presentation from Torbjörn followed by Q&A. The recording of the call will later be available on sampo.com/result.  With that, I hand over Torbjörn. Please go ahead.
Torbjörn Magnusson: Thank you, Sami, and good afternoon, everyone. In Sampo’s Board today, I said that I have never been more tempted to let the numbers speak for themselves. This was since we have an extremely high quality result this time with excellent Q2 numbers for every segment of business that we write, as well as a solid balance sheet, a very satisfactory development indeed.  Let me anyway, as in Sampo’s Board, of course, give you a brief introduction to the numbers and developments. This summary page in front of us starts by a line about our most important business, P&C Insurance, where the results are truly outstanding.  Maybe the most important number is not the headline 80.7 combined ratio, but rather the fact that in our largest business area If P&C, we've been able to increase rates and improve risk selection a further 1.5% during the last 12 months.  These premium levels will now stay with us for a period as insurance contracts are normally of course for 12 months. As I stated also in Q1, there is no important segment in the Nordics where we find it difficult to raise rates, at least in line with claims inflation.  Secondly, on this page, the observation about the performance of Nordea in itself strengthening our balance sheet and making our planned further reductions easier. Nordea’s Q2 numbers were in many ways similar to our own now, in that they delivered excellence in every possible way.  In Q2, we sold another 162 million shares giving us both a level of leverage within our target range and the solvency even exceeding our target. We had promised some synergy information on Hastings in the second half of this year, and we have now worked bottom up with this in the spring and can now confidently give you a first set of very positive numbers. I’ll return to those in a minute.  Next page here summarizes the total performance. Our six-month profit before tax exceeds €1.3 billion equivalent to an EPS to €1.80. Underwriting profits, adjusted for things one should and can adjust for, grew by 12% and combined ratios are second to none again. If P&C. As already mentioned, the combined ratio for If P&C improved even further from the excellent starting point a year ago by as much as almost 1.5% both for the half year and for the quarter, this means that we have improved risk selection and increased rates more than claims inflation.  Claims inflation for building materials have picked up a little bit recently. But this is a minor part of our total claims costs. And it is dampened by long-term agreements and cash settlements. And also claims inflation as a whole has stayed low. Growth in If P&C is also worth saying two words about. In Q1, we had a number of technical effects that kept the number artificially low. I said then not to worry. And we now start getting that back and the headline growth is 7% for the second quarter. The half year number is 4.5%, a continuation of last year's progress. Maybe that's a better number to use for the present situation.  Turning to Hastings. I am pleased to be able to report excellent numbers also there for the rest of the Group, but also in addition a very fruitful collaboration on knowledge transfer and synergies. First of all on the results, the rates in the UK motor market have been a bit volatile during COVID, and Hastings has maintained a very disciplined Sampo-like, if I may, attitude and relied on their own judgment. Market rates have been more stable in May and June, but the next period will, of course, depend on how the pandemic develops.  Secondly, we have now identified on the next slide here, concrete synergies, so €45 million per year between If P&C and Hastings. These are, as I said, initially bottom up, identified by the people who are going to deliver them. They are detailed in this slide and are partly about running our respective insurance operations and partly about capital management. My last slide today is just basically to report on meeting the targets we set in February, and we beat all of them by a margin. The one quarterly exception is its cost ratio, which always varies quarter-on-quarter, but is managed more carefully on an annual basis. We will meet the cost target also for this year for the 13th consecutive year.  It only remains to address the question of the rising capital surplus. The proceeds from the Nordea sell downs up to now have largely been used to strengthen our balance sheet in preparation for a post-Nordea situation. Of course, there has also been an additional effect of Nordea’s improved share price.  As our balance sheet is likely to continue to strengthen then over the coming 12 months, we will either find bolt-on targets in the Nordic insurance industry or return money to shareholders. Our appetite for M&A has not changed since the Capital Markets Day in February, and is indeed very limited.  So this will not consume anywhere near the total predictive surplus and may even result in no acquisitions. The consequence of this is to expect some sort of extra capital distribution during 2022 at the latest.  And with that, Sami, we open up for questions and dialogue. 
Sami Taipalus: That’s the presentation finish. Operator, we're now ready for the Q&A.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Jakob Brink from Nordea. Please go ahead.
Jakob Brink: So the first one might be a bit detailed, but you're right in the text there that you had some loss ratio support from prior year gains and bodily injury. Can you maybe give us a bit more flavor on how much and for how long time could we expect this to continue?
Morten Thorsrud: Yes. Hi, Jakob. Morten Thorsrud here. That is really the old story with the reserve situation in motor Sweden, which is a situation that has lasted for a while now. Of course, we tried to refrain from predicting about the future, but the reserve releases on bodily injury claims in Sweden has been developing more favorably than what the accurate models have been assuming. And it's been the situation going on for quite a long time now.
Jakob Brink: I think if I'm not misunderstanding, isn't that -- I was actually referring to Hastings. Sorry for that if I was unclear. But isn't that what you write for Hastings as well that the favorable development on large bodily injury claims was the reason for the strong loss ratio, or am I misunderstanding something?
Torbjörn Magnusson: Toby, maybe you could jump in on this one.
Toby van der Meer: Yes. Hi. Good afternoon, everybody. Toby van der Meer from Hastings. Just to I guess add a bit of color to say that the overall strong profit result from Hastings was due to a combination of factors, including underlying performance following from a lot of the investments we've made over the last few years. Of course, some of the benefits of the lower frequencies from COVID and good underlying performance in the underlying claims’ patterns, including bodily injury, and I wouldn't draw too many conclusions from the bodily injury comment in isolation. The overall strong results are a combination of all of those things coming together. And I guess similar to what Morten just said, we would not typically provide commentary or guidance on future patterns in bodily injury, but we are confident that the patterns on bodily injury are well understood and appropriately reserved for.
Jakob Brink: Okay, fair enough. Just to come back on it. So you also mentioned COVID impact. How big was that in Hastings?
Toby van der Meer: As you can imagine, COVID has impacted almost everything in the business operationally in terms of premium and competitive dynamics and in terms of claims. So they're very difficult to pull out in isolation. But it's fair to say that we've seen a reduction in driving behavior across the country last year and continuing into the first part of this year. Of course, more recently, driving behavior across the UK is returning nearly to normal levels. So that benefit is receding, but has led to lower claims frequencies during the first half of the year. That's been partly, but only partly offset by severity inflation. And I guess the overall results reflect that total operating environment, including claims benefits, some downward pressure on premiums, but a loss ratio that we think is very good. And we would expect, based on our disciplined pricing, as Torbjörn has already said, to benefit from that disciplined pricing by having a loss ratio that continues to be at or below the target 76% range that we've guided to for the medium term.
Jakob Brink: And sorry, I heard the very last part. So you said that you want to stay well below or what did you say the cost or the loss ratio guidance you have given?
Toby van der Meer: So we've previously indicated a target for Hastings of a loss ratio below 76%. And we are pricing to be consistent with that through the medium term.
Jakob Brink: It's just coming back to the sort of -- I understand there's a roughly 4 percentage points support this year due to the acquisition cost accounting. But even adjusting for that, the operating ratio in Hastings is almost 10, 11 percentage points better than your target. So compared to the trends for the volatility we typically see in the Nordics, that's a pretty big deviation. So I'm just trying to get a bit closer to when and if we should get up to 88 or thereabout, or if this is sustainable or not? It's a bit tricky to follow the trends.
Toby van der Meer: Yes, it’s one we’ll take offline and unpick with you in a bit more detail if there are some technical questions about the way the ratios are calculated. I think at this point, the targets are set in stone. We're comfortable. We are on track to meet or beat them. And we’ll have to leave you to do your own modeling to help you get back from the current results to those targets. But I think you should assume from these results that although there are some benefits from COVID that are a bit more temporary, that overall we are very pleased with the underlying results and feel confident about the outlook as we look ahead based on the disciplined pricing coupled with the initiatives that are designed to both improve our growth in a competitive market, but also continue to improve our loss ratio over time.
Jakob Brink: Okay. Thank you. And then just two quick questions on slides 12 and 13. On your synergies, the 45 million and then also the grey bar on Slide 13. Just could you confirm that the synergies, the 30 million, of which two thirds is in If. Is that correctly understood that that's mainly you taking lessons from or learnings from Hastings and applying it to If on IT and technology? Would that be a fair conclusion?
Toby van der Meer: Yes, that's a fair conclusion. But in addition to that, also on the claim side. So when it comes to fraud detection, Hastings are clearly more sophisticated than what we traditionally have been at If. So it's all of those three; pricing, claims and also on the digital era.
Jakob Brink: Okay. And then the grey bar to the far right on Slide 13, what could be examples of additional synergies?
Torbjörn Magnusson: Well, for instance, acceleration of strategic initiatives, of course, since Hastings is no longer a listed company. If there was a suitable portfolio in one area that we wanted -- that Hastings saw as an opportunity to acquire, we could support that easily from Sampo’s side.
Jakob Brink: Okay. Thanks a lot. That was all for me.
Operator: And the next question comes from the line of Michael Huttner from Berenberg. Please go ahead.
Michael Huttner: Fantastic. Thank you so much. So I had three questions, but the biggest one is can you give more detail of your thinking of your thinking on the capital return when you reduce the stake in Nordea? And here, I suppose, there are three points. One is what is the amount? And b, what is the format with buybacks and dividends, special dividends? And c, Nordea is now free to return capital itself. The ECB is no longer going to continue the ban on buybacks and whether that has an implication. And I suppose on the amount, the question I'm interested in is you gave a figure or there is a figure in the Capital Markets Day presentation of €5 to €6 a share. And then at the AGM, there's an additional figure of €2 a share. And today, I think you kind of imply there may be an additional amount, but some of these additional amounts may be used to do acquisitions. So I just wondered which of these go directly to shareholders and which would be indirectly via kind of growing the business? Thank you. And that's the first question. And then the second question, maybe you can say a little bit. I get really excited by little stuff, so apologies for that. But there's a slight discrepancy between the net earned premium growth and the gross written premium growth at If. So the gross is going faster than net. And I just wondered how much of a profit potential that represents? How much more could we hope for in terms of underwriting profit and growth like that, that would be lovely? Thank you.
Torbjörn Magnusson: So I'll give a few broad comments to the first question, and I'm sure that Knut will add a bit. And then we'll see who volunteers for the premium question, Morten. But on capital return on Nordea, of course, the target for us with the whole process is to maximize value, which is a reason why we don't tell in advance exactly what we'll do. And how we will reduce earning in Nordea and when capital will appear. And not having said that, it's very difficult to detail when it should be returned to shareholders. But I said earlier in my introduction, of course, that we're not going to -- we have set a balance sheet framework, we have an optimal range for our solvency ratio, and we will not hang on to capital for long periods. So before the end of 2022, we will have acted absolutely no later than that on a surplus.
Knut Arne Alsaker: And just to add to that, Michael. It's Knut Arne here. You shouldn't interpret the original €5 to €6 per Sampo share. And the number we have, as we speak, of around €9 per Sampo share. The difference between those numbers you should know to interpret some kind of M&A budget or anything like that. It's a representation of the fact that our balance sheet has strengthened during the period because of good results, but, of course, primarily because a strong development in the Nordea share price. So €9 is the number that is currently valid. And the €5 to €6 was just a representation of how the world looked when we had the Capital Markets Day.
Torbjörn Magnusson: And just to repeat, we will not be drawn into poor M&A activities just because we have a capital surplus that -- we are all shareholders sitting here in this room also.
Knut Arne Alsaker: Then your great question on the correlation between gross written premium and net owned premium, over time, it's fair to say that those should correlate over time. But from quarter-to-quarter and year-to-year, there could be a bit of volatility. Both Q1 and Q2 we had an impact from a couple of large projects being written in Denmark last year but will then be earned over time. So over time, you should expect those two figures more to reflect each other.
Michael Huttner: And can I be optimistic and say, well, one would -- can I interpret, say, they both go up?
Knut Arne Alsaker: Yes. If you have growth of -- like we have 4.4% growth for the first six months on gross written premium, of course, then we’d expect that the net earned also approaches that.
Torbjörn Magnusson: And just to add to that, Michael, also for -- since we're talking about gross and net, there's no material changes in our reinsurance purchasing or anything like that. This is our direct business we're talking about.
Michael Huttner: Great. Thank you.
Operator: And the next question comes from the line of Blair Stewart from Bank of America. Please go ahead.
Blair Stewart: Thank you very much. Good afternoon. Congratulations on a good set of figures, guys. I've got two or three questions. Firstly, Torbjörn, you mentioned that claims inflation was very limited. So I just wonder how you could manage to get the tariff increases that you have managed to do through, given the claims inflation is very limited? Secondly, just on capital management, given you've got the liquidity and the balance sheet strength and the leverage headroom to manage capital now, why not just start the ball rolling rather than waiting for a big crescendo further down the line? Thirdly, could you just confirm that you will consider revising your solvency range down when the balance sheet structure changes post your restructuring? And my final question is just coming back to leverage. I noticed the leverage chart on Page 15. It talks about leverage in relation to shareholder -- IFRS shareholder equity. But, of course, you've got about 1 billion of gains on the Nordea holding, which would boost the X number. I just wonder if it's better to look at leverage as a portion of NAV. And yes, that's -- how does that fit into your thoughts on leverage given that I think if you include that extra 1 billion, your leverage number is actually about 1.5 points lower than the 28.4 that you showed on that slide? Thanks very much.
Torbjörn Magnusson: A couple of comments on the first three. Claims inflation growth, well, about half of the growth in Q2 was probably from rate increases, half from new customers, the rate increases mainly in commercial and industrial, where for some segments, it's been needed. So it's a well consolidated market, as you know, and we’re acting rationally -- the large insurers are acting rationally in the markets still. And revising the solvency ratio, we said that if the company structure changes and this will likely be a rather different structure in a year's time for now, we will review the solvency ratio optimal range. And that's just natural that -- there's no promise that it will be something completely different, but it will be natural to review it.
Knut Arne Alsaker: I can take the leverage there, Blair. It’s Knut Arne here. Obviously, there's different ways of calculating leverage. We've chosen one to have a target on. We could have had different targets, different leverage targets. And I don't know if that has sort of been clear. You would have asked which one we looked at so to speak. We've chosen this one. It's for a few different reasons. It's for continuity. We reported leverage in this way. It's the way that rating agencies look at leverage. So it's harmonized in that dialogue. But obviously, also because of the fact that you mentioned, it does mean that we are comfortable with the leverage ratio we currently have of about 28 and a bit, and obviously even a little bit lower after the last buyback we did in July. Also, because if you measured leverage in other ways, it would be even lower. So it's a confirmation that we're comfortable according to our current definition of the current leverage.
Blair Stewart: Thanks. So you would broadly agree that if you want to do it on a mark-to-market basis, if you want to call it that, you should be adding in the 1 billion of gain that you have on Nordea, which would take the leverage down by another point and a half. That's fair, right?
Knut Arne Alsaker: As long as we have sort of an IFRS equity which doesn't represent that unrealized gain according to our current principle, I would agree on that. That, of course, would be different if Nordea share price was the other way around, so to speak. But absolutely. We look, of course, internally at different ways to look at our leverage as well, exactly like you say. But now we have a target. I think it's a good way of defining leverage because of the strength in our balance sheet including the unrealized gains, so to speak, on Nordea share price, we're comfortable with being at 28 and a bit, or actually a little bit below 28 at the end of July given our current definition.
Blair Stewart: Great. Cool. And Torbjörn, why not get the ball rolling now given you've got the cash, you've got the solvency, your shares are excellent value?
Torbjörn Magnusson: I guess it's the same word that Knut used. It's comfortable to get the money first, sell the shares first and then do it.
Blair Stewart: All right, very good. Thanks a lot, guys.
Operator: And the next question comes from the line of Jan Erik Gjerland from ABG. Please go ahead.
Jan Erik Gjerland: Hi. Good afternoon. Thank you for taking my questions. I have a couple of questions on the premium side. If you could shed some light into your multiyear project business in the industrial side, is this the Denmark business you talked about, because it seems there would be some delays on something in that area? And then secondly, could you give us some examples on the commercial side, which has been positive in Sweden and Finland? And finally, on the If side, why do you not -- haven't you change any reason to the rates on the private side? It looks like it's most in commercial and industrial with no rate changes on the private side. And on Hastings, you seem to have a growing number of house policies. What is sort of your target volume? Is it the same kind of clients you have in the motor as you target on the housing side, or is it that new kind of clients you try to attract? And finally then on the Hastings, the reinsurance share, is that part of the €15 million roughly synergies you painted in your synergy text? Thank you.
Torbjörn Magnusson: So Morten on If and Toby please then on Hastings.
Morten Thorsrud: Yes. Starting with the multiyear contracts or project contracts, we have somewhere between SEK 200 million and SEK 400 million in project insurances in the normal year in our business and in industrial. In 2020, we were closer to the 400 figure. And the country that then stood out positively was Denmark. We had a couple of really big projects being insured in Denmark. So that's sort of roughly the magnitude of that business. Just a side comment. It means that if you adjust for this, our gross written premium or rather sort of net premium earned actually in Denmark grows by some 3% for the first six months of this year when kind of excluding that effect. If you can repeat your second question, Jan Erik, on -- you asked about positive things in commercial, Finland and Sweden, but I didn’t truly get your question.
Jan Erik Gjerland: Could you give some examples of what kind of positive trends you see on the commercial side in Sweden and Finland in the second quarter you pointed to, especially in the commercial side on the premium?
Morten Thorsrud: Yes. I think the thing that probably stands most out there is that -- rather that we had a special situation in the first quarter actually in the commercial Finland where we were losing a bit of volumes on the workers’ comp side. Quite a bit of that even related to the current COVID situation where there is an elevated number of unemployed, of course, in Finland and that hit directly on the workers’ comp premium in Finland. And since all of that is more or less renewed first to first, you have big impact in first quarter. Then the development underlying in commercial in Finland and also Sweden has been good in the second quarter.
Jan Erik Gjerland: Do you have an example for a typical business you’re doing on the commercial side? Is it just motor and housing, or is there any special things we should be aware of?
Morten Thorsrud: That's all. It's small -- everything from small companies to medium-sized companies. It's, of course, motor, property, liability, sort of the whole breadth of P&C products.
Jan Erik Gjerland: Okay. So is it returning to normality is what you can say then?
Morten Thorsrud: Yes. And then you asked about rate increases on private? Yes, of course, we do rate increases on private as well. But, of course, the private business is more a business where you constantly fine tune. So you might sort of slightly change prices from almost week to week. So it's quite a different machinery than industrial. That is sort of real upper -- other side of it, but we are definitely implementing rate increases also in private, but a more fine tuned sort of machinery there.
Jan Erik Gjerland: Just while I have you, Morten, could you shed some light into how different with your sort of pricing be today if they would not have been such a building inflation as we sort of talk about as such. What kind of pricing increases would you then have implemented? Would they be much lower or --?
Morten Thorsrud: On the total, if it doesn't have a huge impact, property is about one-third of our book. Then material cost is about one-third of property claims costs. And then, of course, there are certain -- only certain building items where you see sort of an elevated inflation. So in totality, it's not having a huge impact. But, of course, it means that expectations for property inflation is higher than what it has usually been, which we are, of course, pricing for and getting kind of fully through in the market.
Jan Erik Gjerland: Okay. Perfect. Thank you.
Torbjörn Magnusson: In addition to that, claims inflation does not vary exactly -- actually quite distinctly from normal consumer price inflation. We all know that. And actually, Morten, you've seen much higher inflation on motor items in the past few years than you have now.
Morten Thorsrud: Absolutely, particularly in motor Norway as a result of weak Norwegian currency sort of we’ve seen higher sort of inflation numbers than this in the past that we have been able to price for again.
Torbjörn Magnusson: We always monitor this. It is important. But this is no extraordinary situation about claims inflation if I put it this way for us. Toby?
Toby van der Meer: Just quickly on home insurance in the UK, it is the same target market and a big opportunity. To remind you, we have just under 300,000 home insurance policies at Hastings at the moment. So a fairly small part of what we do, albeit it growing at 27% year-on-year. But it's a very large marketplace with 21 million insured homes, 5 billion GWP. And the reason I say it's the same target market is because over 16% of all new home insurance policies these days are sold through digital channels, in particular price comparison Web sites. And so we'll be going after that same mass market, digitally savvy customer group that is very similar in nature to the customers we have acquired over the years in car insurance. And, of course, as a part of all of that, we'll also be looking to offer home insurance to the existing motor book, in addition to attracting new customers into the company. Your second question, yes, changes to the reinsurance structure at Hastings are included in the 15 million at the bottom of Page 12. To remind you, our reinsurance contracts at Hastings are on a calendar year basis. So we'll be talking to our reinsurance partners over the next few months in the run up to the 1st of January renewal cycle. And then any changes we make to those contracts will then take effect from the 1st of January onwards for any policies written from that date onwards, and so would earn through over time.
Jan Erik Gjerland: Okay. Perfect. Thank you for your answers.
Operator: And the next question comes from the line of Marcus Rivaldi from Jefferies. Please go ahead.
Marcus Rivaldi: Good afternoon, everybody. I've got three questions please. First on Slide 12, again, the slide on synergies and in particular relating to capital management. Obviously Hastings had preexisting debt outstanding prior to the acquisition. And that debt provides very much the option for you at any time to effectively redeem that debt. Yes, you have to pay above par for it. But that option is immediately available to you. I'm just wondering how you're thinking about that. Secondly, in relation to broader debt and capital management, again, moving to the leverage chart on Slide 15, just trying to understand, should we say the -- what we should be expecting in terms of the stock of debt at the group going forward over the remainder of the year? You talk about, obviously, positive increases to debt from a recent If issue and you've highlighted also within that calls and maturities over the remainder of the year. Could you just help me understand that a bit more please, and whether we should be expecting all of that future debt effect in September and towards the end of the year just to roll off, or whether you'd be thinking of replacing some of that? Again, that obviously drives where your ultimate leverage ratio ends up at the end of the year. And then finally just on M&A, just a bit slightly confused. So please help me out here. You talked about very much in the introductory comments about your core focus would be on Nordic insurance bolt-ons. And then a bit further on in the conversation today, you talked about maybe supporting Hastings if it wanted to do acquisitions of portfolios in the UK. So I'm just trying to understand and tally those two statements together please. And then just finally, if I may, what do you see in terms of appetite for assets that you may be looking to manage for value, particularly Mandatum Life? Thank you.
Torbjörn Magnusson: Do you want to start, Knut?
Knut Arne Alsaker: Regarding capital management, and you had a specific question around the debt in Hastings, and I would agree with you the way you described it. It is an option for us to refinance Hastings external debt and fund that their own means. And, of course, some of that benefit is included, although it is an option. So that's not something we see have plans to materialize tomorrow. But it's included as a change over time over the next three years. So that's an option. We have, obviously, just from a leverage perspective that would reduce the group leverage ratio in terms of more immediate changes to the gross debt, given the target we have on our leverage ratio and the significant liquidity we have currently, and we obviously would expect that to increase as well. We have no operational needs to refinance debt that matures this year. And that goes for the remainder of the issue maturing in September. And, of course, also on parts of the debt that matures in December, because it has already refinanced some of that debt. But we have no plans to refinance the rest of that net of the 100 million or so in December. So from a calculation perspective, you could expect us to reduce our gross debt by the maturities that we have for the rest of 2021.
Torbjörn Magnusson: Then on the M&A appetite. Well, in the context of a surplus of billions of euros, we don't have any appetite for acquisitions outside of the insurance industry in the Nordics. But then, of course, you've got to remember that this is small changes to portfolios, partnerships in the insurance industry. We do that all the time without sending out press releases about that. And if Hastings found a portfolio that would support the development in home insurance, I've used this example a number of times, there could be others, motor as well. This is negligible in comparison to that surplus.
Marcus Rivaldi: And I have a final question just in relation to other management value assets as well, and where you see market appetite for those sort of assets at the moment?
Torbjörn Magnusson: Are you asking about the investments, the value investments we have in Sampo plc?
Marcus Rivaldi: Actually more specific maybe about Mandatum Life in terms of how you describe it in the deck within the management value component of the portfolio?
Torbjörn Magnusson: You mean if we're going to sell Mandatum. Is that your question?
Marcus Rivaldi: Yes, more maybe explicit about it, yes. 
Torbjörn Magnusson: Okay. There's absolutely no such plan. Mandatum is -- obviously, Mandatum is, as you know, described as a part of -- we manage it for value, because, of course, it's a different type of business than the P&C. It's the higher market risk. So that's where we currently generate the value. But it's an integrated part of our insurance dividend as we define it. We have made some small investments in Mandatum over the last few months in terms of tiny but still important acquisitions to support their future new business growth. So Mandatum, we are working hard to develop that basement as we are with our P&C business. But it's a smaller part, of course, of the group, but it's not a business that we work hard on to sell.
Marcus Rivaldi: Okay. Can I just come back on the comments around Hastings? Just could you help me understand the value of that debt to the group at the moment, why you wouldn't be looking to remove it sooner given the liquidity on balance sheet as you talked about?
Knut Arne Alsaker: When I said [indiscernible] first of all, it's a smallish part of the number we've come up with today. It's a very small part. And we don't have an exact timetable when we might do that. That's obviously a business case that needs to be positive for RMI or for Hastings. So we’ll look at that over the quarters to come. And if it makes sense to do it, we'll do it. Because it's obviously like you said an option we have, given the size of the debt and the liquidity position we have in Sampo plc.
Marcus Rivaldi: Indeed. Okay. Thank you very much for your time.
Operator: And the next question comes from the line of Per Grønborg from SEB. Please go ahead.
Per Grønborg: Yes. Thank you. Good afternoon. Two questions from my side, the first one is probably pretty simple. COVID and If still a pretty solid tailwind in Q2. How fast should we expect this to level off? A lot of your peers are talking about this most likely being leveled off already in the third quarter. Are you seeing the same picture?
Knut Arne Alsaker: We are reporting a 3% positive impact in Q2 from COVID. Then we don't have any decimals on that. But it's a reduced impact. So if I should have sort of disclosed sort of our decimals on our best estimates, you will see that it is being reduced from Q1 to Q2. And, of course, we expect it to continue to have then a smaller impact in Q3. I still do believe to see some impact. It's already one month into the third quarter, and we still of course see that societies have not fully opened yet. But we expect now during Q3 that this will normalize. But, again, that will have some positive benefits also in Q3, but obviously much less than what we've seen so far.
Per Grønborg: How much of the current benefit is coming from travel? I assume I'm not the only one that has forgot to cancel my travel insurance.
Knut Arne Alsaker: The larger part is coming from motor clearly. Travel insurance is after all a clearly small product. I think we have about a little bit less than SEK 1 billion before COVID started on travel insurance. So it’s not typically that big product, whilst motor of course it's really the big line of business. I think Torbjörn was trying to chip in saying that in our outlook of 81.5 to 83.5 for the full year, we have included what we know of course in terms of development up to date.
Per Grønborg: Okay. My second question relates to the Hastings synergies, benefits you are addressing today. When I look at the historical Hastings numbers, it looks like they have spent a bit more than half of the written premiums on reinsurance. This 50 million, how much does that reflect that the use of reinsurance will come down I assume? What is your take on the motor insurance? If this had been on If’s balance sheet, you wouldn't reinsure at all?
Torbjörn Magnusson: Well, we’ve reviewed it. We have made clear that it would make sense to reduce the reliance on reinsurance as part of the new context. And we have a plan for how to do that now. And in the interest of good talks with our insurance, we don't go into that more in detail.
Per Grønborg: Okay, fair enough. Thank you.
Operator: And the next question comes from the line of Derald Goh from Citigroup. Please go ahead.
Derald Goh: Hi. Good afternoon, everyone. I've got a few questions please. So the first one is on the trend in new car sales. So I’m just quite keen to hear your thoughts. So firstly, it’s around the kind of sustainability of the growth trends. Obviously, 25% year-on-year, that's really strong. What have you seen so far in July? And then the second question relating to that, it just seems as though -- I know your market share is really strong at 26%. One point drop from 27% is probably immaterial. But is there a sense that the market is becoming a lot more competitive?
Morten Thorsrud: When it comes to new car sales, it is, of course, increasing a lot year-on-year. But on the total Nordic level, we are roughly back to the level that we had pre-COVID. So in that respect, you can say that the new car sales levels that we're experiencing now for the first half of the year all-in-all is a fairly normal level, I would say, historically. And then there are, of course, some differences between countries. We have a very strong market position when it comes to insuring new cars. And that's what we kind of indicate with now disclosing the figure that we're sort of around 26%, 27% market shares on new cars. That drop is insignificant. I think, again, it's more -- the important part is that this is significantly higher than our overall market share when it comes to motor insurance in the Nordic. So we are strong in the new car sales segment.
Derald Goh: And are you seeing kind of like new entrants into the new car channel?
Morten Thorsrud: No, not really. It is the same competitors, the same competitors in all countries really. So no change in that respect. 
Torbjörn Magnusson: Of course, our strength in this area is based on really tight collaboration with the car industry and the car dealers, and we have a huge proportion of the car industry various ways contracted in collaborations over the long term. So it is difficult for a competitor to come into this field.
Derald Goh: Yes, got it. Thanks. And if we can now move to Hastings. So you've commented on earlier about how If P&C might benefit from the synergies. Could you maybe also talk a bit about how Hastings is benefitting somewhere along the lines of the three buckets that you've outlined? I guess I'm just trying to understand how you're making Hastings even more efficient than it already is?
Torbjörn Magnusson: That one’s for you, Toby.
Toby van der Meer: Yes. So we've been spending a lot of great time with Morten and his team looking in detail at what they do in pricing claims and IT and digital capabilities. And it’s fair to say that, as Morten has already highlighted in some areas, we do some things very differently and maybe a step ahead. But it is also true that the reverse is true in a number of other areas. For example, Hastings has traditionally not been very good at underwriting profitably new and electric vehicles. But If has built up some very strong experience there, including some interesting data sets. And as we referenced earlier, as another example in claims, Hastings historically has not been very big in home insurance, but we do intend to grow very significantly. As a part of that, we are just about starting to build out of our own internal home claims management capabilities, having historically outsourced a lot of that work. And so, again, the learning and experience at scale from If will be very useful to us in setting up and scaling our own employees capabilities with we think some good shared learnings, maybe even some shared technology. And on IT and digital, the capabilities that If has developed in Riga are very interesting and may be a great way for us to access a very high quality, relatively low cost technology pool that Hastings has not historically been able to access. So hopefully with a bit of color, you can sense why a third of the €30 million benefits arising to Hastings from some combination of those things, which we've really started to detail but we’ll do more work on over the coming months feels very achievable.
Derald Goh: That's really interesting. Just a quick couple of follow ups, if I may. So I guess as all these synergies come through, do you think that will give you kind of more scope to expand your pricing advantage? It's -- I understood from the outside that the UK market is really competitive, it's really price elastic. So, as some benefits come through, do you think you'll be able to compete even more aggressively than you did before? And the second question is just a small one is just around the trajectory of the run rate synergies in '21 and '22, because I understand that the 45 million is expected to be achieved over three years?
Torbjörn Magnusson: So I’ll take your first question. For sure, we believe that the combination of joint work on pricing and claims will mean that we've become even better at risk selection and claims management than we have been in the past. And the combination of knowledge and data sharing across those areas will be great. Now, I think you described it as competing aggressively. I probably wouldn't put it that way. We'll just become more sophisticated in risk selection. That should help grow our market share, our policy count, our premiums and our loss ratio. And that's what we're setting out to do. We've got a good track record of doing that before, but with the benefit of If’s experience, I think we can go even harder. Knut Arne, should I pass the timing of the synergies over to you?
Knut Arne Alsaker: When it comes to the timing and the pace of the realization, I think we've gone quite a long way in building this concrete list of synergies and we have outlined the sort of overall timeline, but not given the details today.
Morten Thorsrud: I think just in terms of thinking a third, a third, a third is not far from it, maybe with a little bit more this year on parts of the capital management synergies because we obviously will talk to reinsurers already with one-one renewal.
Derald Goh: Yes, got it, very clear. Thank you very much all.
Operator: And the next question comes from the line of Faizan Lakhani from HSBC. Please go ahead.
Faizan Lakhani: Thanks for taking my questions. Firstly, congratulations on a very good set of results. I want to come back to leverage. You're only able to retender a small portion of the 2023 and 2025 bond and you have some further options on senior bonds in 2028 and 2030. Can you provide some color on what the appetite noteholders would have to accept any potential proposals, or what they note all their mixes relative to the '23 and '25 bonds? And also I see that these will be more expensive to retender. Could you provide any indication of what that cost could be? And then my next question is on Hastings. So Hastings posted strong results. But given significant debt and COVID, the body injury benefit and the benefit from the multiplier impact from the reinsurance structure, I've assumed a better operating ratio, even though it's very strong. Is there anything I'm missing there? And then my last question is a two-part question on the reinsurance structure. I just wanted to understand the rationale of changing your reliance on reinsurance given that it tends to be quite sort of ROE boosting, as you can see, it appears annually, tends to be a highly valued by the market. And also given the fact that bond renewal is said to be quite tough for motor insurers, does that limit your ability to sort of negotiate reinsurers? Thank you.
Knut Arne Alsaker: On the tender, I'm not sure I got the whole part of your question. I think when -- we've done some work on the '23 and '25 issuance. And we have bought back what our debt investors are willing to sell at the current moment. That could, of course, change. If sort of rates change or market change, but we don't -- we will not continue to work on those issues for the time being. We are in the process of looking into potential smaller buybacks on the longer bonds. You shouldn’t expect those to do significant buybacks of those bonds, neither is that necessary to remain within our target leverage ratios to do significant buybacks or those bonds, even if we would have a balance sheet where we hypothetically would have then distributed all proceeds from the rest of our Nordea shares and our private equity portfolio. And this is, of course, also, just to remind what I said on Blair's question, that we are comfortable with our current leverage ratio level at 28 and a bit.
Toby van der Meer: Did I read you correctly that you thought that the Hastings result was poor?
Faizan Lakhani: No, it was accident. But it's been a case that motor insurance in general performed very well. You can see their [indiscernible] has been very good, and should probably expect it given the sort of multiply impact to the reinsurance structure, it could have been stronger given that we've seen 20%, 25% improvement of frequency. Just want to understand --
Knut Arne Alsaker: I think not much more we can say on that. The only thing I think we can give you color on is, of course, the COVID effect has been twofold, as I highlighted earlier. One is a frequency reduction. And that you can assume is reflected in the numbers, because, of course, that data comes through in real time, or pretty close to it. But, of course, there is also a greater level of uncertainty than normal about the ultimate severities of the claims that have happened during COVID, both last year and in this six-month period. And in line with our normal reserving philosophy, if we see greater uncertainty in any period, then we would prudently reserve for that increased uncertainty. And so you can assume that that has been done as per our normal reserving policy through this half year, as it was last year. And to the extent that ultimate experience is better than those assumptions, then, of course, that will flow through over time.
Faizan Lakhani: And just a quick follow up on that. What's your assumption on claims severity right now within the market?
Knut Arne Alsaker: We've assumed for the period impacted by COVID, the severity would be higher than normal as a result of the delays to the repair processes and due to the uncertainty in the types of accidents that might drive bodily injury. And so that's our assumption and a prudent one in our reserving, recognizing it is uncertain. And then as we look ahead, we have historically talked about 3% to 5% underlying severity claims inflation, and we've seen nothing over the recent period that does not make us believe that those numbers are not directionally correct.
Torbjörn Magnusson: And did you have an additional question on the reinsurance?
Faizan Lakhani: Yes, just trying to understand the strategic rationale, given that reinsurance sort of structure as seen on the Hastings side tend to be quite sort of well liked by the market, given they tend to be quite ROE boosting. Just want to understand the rationale of reduced reliance on reinsurance?
Toby van der Meer: Like Torbjörn said, we can't be specific about exact changes. We obviously should have a discussion with reinsurers first. But what we have disclosed today in terms of capital management benefits is a result of careful analysis, obviously, that Hastings sit down together with us and represents more of an optimization -- further optimization of the reinsurance structure, also a part of the new group structure where we get a profitability benefit without in any way deteriorating the return on capital or equity that we have in Hastings. So it's more of an optimization exercise than choosing one against the other.
Knut Arne Alsaker: The return on equity that we are primarily focused on is, of course, Sampo’s return on equity in this context.
Faizan Lakhani: And just the final bit [ph]. Given that insurance rates are rising, is this the right time to negotiate at the one-one renewals?
Knut Arne Alsaker: Theoretically, if renewal rates are increasing, it would be quite common to reduce the reliance on reinsurance at that time. But that was a theoretical answer. We wouldn't do it unless it was good for the group.
Faizan Lakhani: Okay. Thank you very much.
Torbjörn Magnusson: I think just also for the benefit of the good reinsurance relationships that we have across the group, we have long-term relationships with reinsurers and I think we will have long-term relationships with reinsurers also when we make some changes in our reinsurance structure from time to time. So it's not an optimization game that we tried to do on an annual basis where we exactly play rate levels against individual reinsurers.
Faizan Lakhani: Okay. Thank you very much.
Operator: And we have one follow-up question from the line of Jakob Brink from Nordea. Please go ahead.
Jakob Brink: Thank you. Sorry, Knut, but just coming back to the leverage ratio on the debt side. So now you tried to repurchase around €900 million and got around €180 million, I believe. Is it really so that rating agencies and bond owners only look at the gross debt? You have almost €2 billion of cash. You have shown you're willing to buy it back, but bond owners are not willing to sell. So isn't that a bit simplistic to only look at the 30%. And then using only the gross at that level? So I guess my question is, could you maybe be less strict on only looking at gross since you have the cash?
Knut Arne Alsaker: Sure. Just one comment to your introduction when what we tried to do with structure to certain -- a certain structure to sort of get back as much as we could all those two issues. Did we believe initially that would be 900? It would be 900? That would be okay. But maybe we didn't believe that. So it was a good way to get access to what's available of the '23 and the '25? That wasn't your question. I think you're absolutely right that it's too simplistic to look at rating agency metrics and even leverage from just one metric. I appreciate that comment. I would totally agree. And we also recognize that we do have significant liquidity which makes our net debt position different than the gross debt position, I'm pretty sure that will be the case also going forward since we want to remain -- have a solid liquidity position in Sampo plc at any time. And when it comes to rating agency, we obviously look at completely a wide range of additional metrics than just leverage. The S&P model is an example, Moody’s scorecard and other ones. So I think you're right. This is one of the targets. We had this one specific target to communicate with the market the direction of how we were trying -- where we were traveling in terms of our plans for reducing debt. But it is just one of the several metrics we should discuss and we discuss with rating agencies when considering financial strength.
Jakob Brink: So just to follow up. So looking at the two sort of constraints for excess capital solvency and the leverage ratio, then clearly the leverage ratio is the most binding one right now due to the very high gross debt level in absolute terms. What you're saying now actually mean that you could actually go above 3, shorter term in connection with paying out cash or excess capital, as long as you have sort of a net debt level that is in line with your sort of gross debt level ratio target?
Knut Arne Alsaker: Yes, we could. And I’m not changing the target. We still have a target to be below 30. And I'm not saying we will be above 30. But obviously, the exact timing when we have a strong liquidity position for the opportunity that would arise to buy back some debt doesn't necessarily have to be in the same quarter where it makes sense to hypothetically distribute excess capital, right? So it's not that much of an exact science, but we certainly stick with our targets -- long-term target to be below 30 also with this leverage definition. But the situation you described we would also be comfortable with, yes.
Jakob Brink: Thanks, Knut.
Operator: And we have another follow up from Michael Huttner from Berenberg. Please go ahead.
Michael Huttner: Thank you very much. Just two questions, one hypothetical. If you were to completely exit Nordea, what is the benefit in terms of the solvency ratio? Is it -- I was estimating 60 points because the first sale was 20%, but maybe I'm wrong. And then the other, you talked about reinsurance. I just wondered if you could remind us what your reinsurance cover is if we had a really bad storm or I don't know, whatever, big event, what would be the worst case? Thank you.
Torbjörn Magnusson: Reinsurance net retention €25 million thereabouts both for large losses and catastrophes.
Knut Arne Alsaker: And Mike, it’s Knut Arne. I think you could for simplicity basically use the same number we had shy of 20% benefit when we exited Nordea selling or when we sold 4% of Nordea. It would depend, of course, on things like where we are on the symmetric adjustments and some other factors, which doesn't necessarily make it. And then, of course, as we reduce gradually, Nordea potentially, there wouldn't be necessarily linear effects since SCR would continuously decrease during that journey. But for simplicity, it's the same shares at the same price, right? So you can use roughly that number as an estimate.
Michael Huttner: Okay. Thank you very much.
Operator: And we have another follow up from Blair Stewart from Bank of America. Please go ahead.
Blair Stewart: Yes. Thanks very much. Sorry, it's been a long call. Just one final follow up for me, just based on excess capital deployment and you touched a little bit on M&A, Torbjörn. But I suppose the obvious question is how you weigh up the value proposition of buying the part of Top that you don't already own versus buying your own shares? What's your current thoughts on that please?
Torbjörn Magnusson: Buying the rest of Top, listen, I don't have a lot of new things to say. It's an attractive company with a fully valued and you've heard that many times before? And the obvious -- the question comes from the obvious situation that we might sit on several billion euros of capital and think that that would necessitate them using it for an acquisition, which it won't. So we will evaluate all possibilities as neutrally as we have in the past.
Blair Stewart: Okay. So it sounds like buying your own shares back would seem to be a bit more value creating than paying up for Top, if I read your comments correctly.
Torbjörn Magnusson: No comment on that.
Blair Stewart: I’ll take that as a no comment. Thank you. Thanks very much, guys. I appreciate it.
Operator: And we have one follow-up question from the line of Jan Erik Gjerland from ABG. Please go ahead.
Jan Erik Gjerland: Yes. Thank you. The cost ratio, you said that there was some write-down on IT system? Is it then an expensed IT system or is it still something recurring, or how should you read that one IT system? And finally, could you shed some light to the large claims in the quarter? Was it a fire in Sweden or what kind of typically large loss was it?
Morten Thorsrud: On the cost ratio, I think the only sensible way is to look at sort of full year numbers and full year sort of type of outlook. Again, we remain committed in continuing the journey of reducing cost ratios. Then when it comes to IT, what I can comment is that we actually don't have any IT systems on the balance sheet at all actually now after second quarter. So we're in a good situation in that respect. And then what was the last part of your question?
Jan Erik Gjerland: The large loss --
Morten Thorsrud: That's actually a couple of larger claims that we've had. It's not only one single large claim, but we've had a couple of larger claims in the quarter. So that's on that situation. 
Torbjörn Magnusson: Several countries, long-standing customers --
Morten Thorsrud: Additional claims sort of what we see from time to time.
Jan Erik Gjerland: Okay. Thank you.
Operator: And as there are no further questions, I'll hand it back to the speakers for closing remarks.
Torbjörn Magnusson: Thank you, operator. This concludes our call for today. Thank you everyone for participating, and we look forward to speaking to you again soon in the future. Thank you.